Operator: Good morning, and thank you for joining Navios Maritime Holdings First Quarter 2022 Earnings Conference Call. We are pleased to host this call from the Cayman Islands. With us today from the company are Chairwoman and CEO; Ms. Angeliki Frangou; Vice Chairman, Mr. Ted Petrone, Chief Financial Officer, Mr. George Achniotis; and SVP, Strategic Planning, Mr. Ioannis Karyotis. I'll now turn the call over to Ms. Daniela Guerrero, who will take you through the conference call details and safe harbor statements. Daniela?
Daniela Guerrero: Thank you. As a reminder, this conference call is being webcast. To access the webcast, please visit the Investors section of Navios Maritime Holdings website at www.navios.com. You'll see the webcast link in the middle of the page, and a copy of the presentation referenced in today's earnings conference call will also be found there. Now I will review the safe harbor statement. This conference call could contain forward-looking statements under the meaning of the Private Securities Litigation Reform Act of 1995 about Navios Maritime Holdings. Forward-looking statements are statements that are not historical facts. Such forward-looking statements are based upon the current beliefs and expectations of Navios Maritime Holdings management and are subject to risks and uncertainties, which could cause actual results to differ from the forward-looking statements. Such risks are more fully discussed in Navios Maritime Holdings' filings with the Securities and Exchange Commission. The information set forth herein should be understood in light of such risks. Navios Maritime Holdings does not assume any obligation to update the information contained in this conference call.
Operator: The agenda for today's conference call is as follows. We will begin this morning's conference call with formal remarks from the management team, and after, we'll open the call to take questions. Now I turn the call over to Navios Holdings Chairwoman and CEO, Ms. Angeliki Frangou. Angeliki?
Angeliki Frangou: Thank you, Michael, and good morning to all of you joining us on today's call. I'm pleased with our results for the first quarter of 2022. In the first quarter, Navios shortened reported revenue of $127.8 million, EBITDA of $73.8 million. In the first quarter, we repaid $614.3 million of ship mortgage notes. And so far, in 2022, we have redeemed $50 million of the senior secured notes. Today, the market is healthy. Our charter rate for the first quarter of 2022 are over 50% higher than the first quarter of 2021. However, there are headwinds from the war in Ukraine and rising interest rates and inflation. We are watching this closely as markets can turn quickly. Please turn to Slide 3 for an overview of the Navios structure. As you can see, Navios Holdings operates 36 drybulk vessels with an average age of 9.4 years. Navios Holdings owns 10.3% of Navios Partners with an approximate value of $90 million. Navios Partners is one of the largest U.S. publicly listed shipping companies with 150 vessels across three segments. Navios Logistics is a leading infrastructure and logistics company in the Hidrovia region. Navios Holdings maintains 63.8% ownership in Navios South American Logistics. Slide 4 highlights the recent development. During the first quarter, we generated $127.8 million in revenue and $73.8 million in EBITDA. During the first quarter, we also achieved a time charter rate per day of $15,377 for our Capesize vessels, $25,835 for our Panamax vessels and $22,080 for Ultra-Handymax vessels. As it relates to Navios Logistics, Vale announced the sale of it's mining and logistics assets in the Midwestern system to J&F Group. The sale includes the full assumption by the buyer of the take-or-pay logistics contracts, subject to the consent of the applicable counterparties. The Vale port contract remains in effect, and Vale is performing its obligations. Any change to the terms and conditions of the Vale port contract is subject to the prior approval from Navios. We will alert you as we know more. Navios Logistics grain port terminal is performing well, but the barge business continues to be negatively impacted by the ongoing condition of the river, with draft levels below historical averages. Ioannis Karyotis will go through the segment performance in full detail. The market backdrop we currently operate in is dominated by geopolitical and the pandemic-driven uncertainties. Ukraine has been ravaged by the war in its third month, with significant cost in human lives, while China continues to abide by zero-COVID policy. These events, as expected, are having an impact on global seaborne commodity trade. Commodity demand and supply chains are impacted, and commodities have been transported over longer distances, thereby adding to ton-miles. The situation is fluid, but governments are satisfying their short-term needs. Slide 5 goes through our chartering strategy and potential operating cash flow generation at current market rates. A diverse fleet of 36 vessels has 9,873 available days for the remaining 9 months of 2022. So far, for the remaining 9 months of 2022, we have fixed 44% of our available days at an average time charter rate of $29,622 per day. For the remaining 9 months of 2022, the breakeven rate is at $3,512 per open day. The total weighted average rate for our fleet open and index days, based on current market rates, is $29,724 per day. As 56% of our available days are exposed to the spot market, we are positioned to capture available market upside. Now I would like to turn the call over to Mr. Georgios Achniotis, Navios Holdings CFO, who will go through the financials. George?
George Achniotis: Thank you, Angeliki. Please turn to Slide 6 for a review of the financial highlights of the first quarter of 2022. EBITDA for the quarter was $73.8 million compared to adjusted EBITDA of $49.2 million in Q1 of '21, an increase of 50%. The increase in EBITDA is mainly attributable to a 51% increase in the time charter equivalent rate achieved in the period, which was $21,767 per day compared to $14,404 in Q1 of '21. Net loss for the period was $5 million. In Q1, you will recall, we repaid $614.3 million of Ship Mortgage Notes that were coming due in January of '22. And so far this year, we have retained $50 million of the senior secured notes. To secure the necessary financing package, to repair maturing debt, we paid $24 million fee in the form of a convertible debenture, and that was what caused a net loss for the quarter. Adjusting for the $24 million, net income was $19 million compared to an adjusted net loss of $5.2 million in '21. The improvement is mainly due to the improvement in EBITDA. Please turn now to Slide 7, where the balance sheet highlights are presented. As of March 31, 2022, we had $49.8 million in cash compared to $137.9 million at December 31, '21. The December balance includes $84.3 million deposited with the trustee of the Ship Mortgage Notes that were repaid in January. Senior and Ship Mortgage Notes reduced by $478.7 million, reflecting the full repayment of the Ship Mortgage Notes in January and the partial repayment of the senior notes in the quarter. Long-term debt, including current portion, increased by $413.5 million, reflecting the new bank debt and the NSM loans obtained to repay our bond. As you can see on the chart at the bottom of the slide, with the exception of the single secured notes here in August, we don't have any other significant near-term maturities. And this concludes my presentation. At this point, I will turn the call over to Ioannis Karyotis for his review of the Navios South American Logistics results. Ioannis?
Ioannis Karyotis: Thank you, George. Slide 8 provides an overview of Navios Logistics. Navios Logistics operates three port terminals, which are complemented by our barge fleet for river transportation and product tanker fleet for coastal cabotage trade. Please turn to Page 9. Q1 2022 EBITDA was $24.2 million, 3% higher compared to the same quarter last year. Port segment EBITDA grew 16% to $20.8 million, mainly driven by a 62% increase in the grain port throughput. This is attributed to higher Uruguayan exports of wheat and more top-off volumes. The Navios ports loading draft is unaffected due to our location at the mouth of the river. And for most of the quarter, we experienced a significant draft advantage over other river ports in the region. This is driving additional top-off revenue for our port terminal. We have now entered the peak season for the grain port that coincides with the harvest and export of soybeans from the region. Uruguayan production is expected to be stronger than last year and to drive an increase in export volumes from our grain terminal. On the other hand, the Paraguayan production has been damaged and, according to the USDA, is expected to decline by 58%, which would adversely impact trans-shipment volumes. At the iron ore terminal, we only loaded one vessel in the first quarter, but new cargo started arriving regularly at the terminal starting in April, mainly from Vetria. Vale is performing their obligations under our take-or-pay contract. We already discussed the news from Vale related to the sale of their operations in the Midwestern system. We will keep you updated of any material development. The liquid port had a relatively stable performance compared to the first quarter of 2021. In the barge segment, Q1 2022 EBITDA decreased to $1.6 million on the back of continued difficult navigation condition as river draft remained below historical averages. The low water levels are adversely affecting operations and profitability as barges have limited carrying capacity and reduced drafts and trips take longer to complete. In addition, the decline in the Paraguayan production of soybeans this year reduces the demand for river transportation services, which affects the freight rate and the employment of our dry cargo bulk fleet. In the cabotage business, Q1 2022 EBITDA increased 7% to $1.9 million, as the market environment in Argentina has improved compared to last year. For Q1 2022, loss was 0.4 million compared to $2.5 million profit in the same period last year, mainly due to higher finance costs net. Please turn to Slide 10. Navios Logistics has no significant debt maturities until 2025. Cash and cash equivalents at the end of the first quarter of 2022 were $33.4 million. I would now like to turn the call over to Ted Petrone.
Ted Petrone: Thank you, Ioannis. Please turn to Slide 11, which presents our diversified dry bulk fleet, consisting of 36 vessels, totaling 3.9 million deadweight. 12 Capes, 19 Panamaxes, 4 Supramax and 1 Handysize. The average age of the fleet is 9.4 years, 17% younger than the industry average. Please turn to Slide 12, which highlights our ESG initiatives. Marathon shipping is the most environmentally friendly means of transportation as it is the most energy and carbon efficient mode of transport. We aspire to have zero emissions by 2050. This process, we have been pioneering and are adopting certain environmental regulations up to two years in advance, and we aim to be one of the first fleets to achieve full compliance. Navios is a socially conscious group whose core values include diversity, inclusion and safety. We maintain policies and procedures that provide effective corporate governance with a clear code of ethics. Our Board is composed of a majority of independent directors and independent committees that oversee our management and operations. Please turn to Slide 14. Despite the disruption in trade caused by the war in Ukraine, the BDI achieved the highest Q1 average since 2010, driven mostly by the strength in the sub-Cape sectors. In fact, the Supramax sector posted the highest Q1 average since assessments began in 2017 on the back of stronger line of bulk demand and an overflow of container cargoes. Dry bulk trade in 2022 is projected to increase by 0.6%. Similar to last year, most of the increase is expected to happen in the second half of the year, with an additional boost in ton-miles as Ukrainian grain exports are expected to be significantly reduced and Russian grain and coal exports get redirected away from Europe. New longer trade routes emerge on the back of stronger worldwide coal demand as the world seeks to cope with extraordinarily high natural gas prices. Please turn to Slide 15. Seaborne iron ore trade is expected to increase by 10.2% in the second half of 2022, with normal seasonality projecting Brazil and Australia increasing exports as China plans further infrastructure investments to maintain the 2022 targeted GDP growth of 5.5%. However, Chinese COVID lockdowns are currently negatively affecting steel production. Forecasts offer growth in global iron ore imports ex-China as the effects of the pandemic recede. Europe's imports are expected to grow by 7.4%. And Asia, excluding China, is expected to import 6.2% more iron ore in '22 than 2021. Please turn to Slide 16. High gas and oil prices and the war in Ukraine support increased coal imports. The gas price surge has driven power plants to switch back to coal-fired power generation, helping 22 ton-miles expand at an expected rate of about 4%. India will increase coal imports by 13 million tons or 6% as current inventories are at a 9-year low. Seaborne coal imports for the second half of '22 will follow the same seasonal pattern as iron ore, as coal demand is expected to grow by 7.8% over the first half of '22. Please turn to Slide 17. On the grain side, the global grain trade continues to be supported by ever-increasing world population, rising protein demand worldwide and heightened food security issues, initially driven by the pandemic and now by war encroaching on the wheat and corn fields of Eastern Europe. Although the global seaborne trade is expected to decrease in '22 by 3.8% due to the Ukrainian crisis, new trading patterns will result in a ton-mile decrease of only 0.4%. Please turn to Slide 18. The current order book stands at 6.6% of the fleet, one of the lowest on record. Net fleet growth for '22 is expected at 2.2% and only 0.4% in '23 as owners remove tonnage that will be uneconomic as the IMO 2023 CO2 will come into force. Vessels over 20 years of age are about 8.3% of the total fleet, which compares quite favorably with the historically low order book. In concluding, continuing positive demand for natural resources, war and sanction-related longer-haul trades for coal and grain, combined with COVID-related fleet inefficiencies and a slowing pace of newbuilding deliveries, all support healthy freight rates. This concludes my presentation. I would now like to turn the call over to Angeliki for her final comments. Angeliki?
Angeliki Frangou: Thank you, Ted. This concludes our formal presentation, and we open the call to questions.
Operator:
Angeliki Frangou: Thank you. This completes our first quarter results. For the first quarter, we had our rate 50% higher than the Q1 of 2021. The inefficiencies have been good in the past and for shipping. And today, we have seen that this reflects in longer ton-miles and reflects in the healthy current rate environment. Of course, we are mindful of geopolitical events that are prevailing and war in Ukraine and zero-COVID policy in China and increasing interest rates that are affecting other markets. So thank you. This completes our Q1 results.
Operator: Thank you. And this does conclude today's program. Thank you for your participation. You may disconnect at any time.